José Ferreira: Hi. Good morning. everyone. Thank you for joining the call today. I'll go briefly through the results of the quarter and then we'll go into Q&A, as mentioned by Maria Joao. So maybe three key messages to start-off. As you've probably seen in our results, the execution on our strategy is really materializing in a very strong business momentum and that reflects obviously in healthy financial results. We continue to grow our market share of retail revenues, driven a lot by our mobile market share but also from the growth in both fixed and convergent customer base. And then summing all of this brings us to a very strong quarter in terms of revenue growth, more than 6% year-on-year. And I'd say very efficient cost control across the board. So maybe let's go into a bit more into the details and just provide a couple of highlight numbers and then we'll go into – double-click on those. Revenues, overall with a 6.1% growth for the quarter reflecting on EBITDA at 6.3% growth and EBITDA after leases 5.8%, CapEx continues the downward trend as expected and as we've been communicating in the past, with a decline of 4.9% to roughly €93 million. And all of this reflects in terms of net income a growth of 14.6% to €52.6 million and free cash flow of roughly three-fold from the previous quarter, although there are some one-off effects that I'll explain in just a little bit. So overall, a very positive quarter. In terms of consolidated revenues, as you see from the telco side, the growth of 6.3% and also on the Audiovisuals & Cinema, a growth of 1.7%, which leads globally to the 6.1% that I mentioned before, which in terms of the consolidated EBITDA, the split on the telco and Audiovisuals & Cinema businesses, the 6.3% decomposes – 6.9% in the telco side and 1.7% negative on the Audiovisuals & Cinema. And that I'll also explain a bit the drivers in a little bit. Double-clicking on the CapEx, obviously a very important aspect that we've been doing a lot of positive work in our perspective. Overall, CapEx is down by 4.9% year-on-year. Obviously, this has a structural decline on the telco side, especially on the expansionary side of the business. So a decline of 14.5% on the expansion side, 10.5% on the baseline telco and a bit of an increase of 7.5% on customer-related CapEx, mostly driven by higher gross adds, so commercial activity that drives and pushes these costs a bit up. But overall, it's a positive trajectory. In terms of cash flow generation, on the OpEx side, just decomposing the cash flow. On the OpEx side, we saw an increase of €5.9 million. This is driven by several factors. I would just highlight maybe on the B2B side the growth that we've seen has driven by some IT and project costs has driven some of the OpEx up. We've also seen as we mentioned in previous quarters, on the energy side, a bit of an increase due to the tariffs. And we also saw a slight increase in terms of content costs driven by the premium services that we provide. So this is a bit of the story on the OpEx side. On the leasing side, an increase of 9.3%. Here the main drivers are essentially a higher number of sites that we are utilizing and also an adjustment in price that as you know is capped at 2% but this is also has a reflection on the year-on-year results. So overall, the growth in EBITDA after leases minus CapEx of 19.8%, so very positive. Maybe talking a little bit about, I'd say some operational successes. Firstly on the next-generation networks coverage side, we are today at 80% coverage roughly, so 80% coverage of FTTH. On the 5G side, we continue to grow the number of sites. And today we have virtually 99% of coverage across the country and we are the first operator to reach 100% of Portuguese municipalities. So 99% in terms of outdoor coverage and we are very happy about the progress that we've made. And obviously, this will have positive implications on the CapEx going forward. In terms of business momentum, as I mentioned before, growth across all segments on the mobile, roughly 100,000 net adds, especially on the postpaid side, as it has been a trend in the past quarters. But also on the PayTV and the broadband side we've been growing our net adds, with some pressure obviously on DTH, some of it actually driven by ourselves by migrating clients to next-generation networks. On maybe going into the Audiovisuals & Cinema just to provide an overview. Overall, revenue grew at 1.7%, despite the decrease in number of tickets sold in the quarter. So a decrease year-on-year of 5.3%. So we've had with Inside Out and Deadpool & Wolverine very strong results in the beginning of the quarter. But then attendance also always has a bit of volatility and went a bit below our expectations. So overall a slight decrease in the number of tickets sold. To wrap this up in terms of financial performance, when we look at consolidated net income, an increase of €6.7 million. Main driver here obviously the EBITDA expansion that, I've been going through. Also, on the D&A side, we had a couple of adjustments here very focused on some lifetime adjustments namely in software and some network assets. And going forward, when we look at free cash flow as stated in our press release, firstly, in terms of operational cash flow a very interesting expansion of €6.9 million. And then we had a couple of one-off effects in the quarter that actually drive a lot of this €88 million. On one side on the income side as mentioned in our press release, we had an adjustment of taxes paid last year that would now return to us. So this is the bulk of the value. And then on the others another element that we received related to activity fees of €12.9 million, and that is also driving the free cash flow significantly higher. Finally, and before going into Q&A, we continue to have a very strong balance sheet position at 1.5 times, net financial debt to EBITDA after leases, so clearly, below our strategic funding target of two times. Our average cost of debt is roughly in line with year-on-year, so starting to decrease slowly as we move forward. And we have a very solid cash and liquidity position. So very robust overall. With that, overview maybe I would hand over to Q&A.
Operator: Thank you. [Operator Instructions] We will take our first question and the question comes from the line of Fernando Cordero from Banco Santander. Please go ahead. Your line is open.
Fernando Cordero: Hello. Good morning, and thanks for taking my two questions. The first question is related with your fixed footprint. While your CapEx has been declining particularly on the network side we have seen an acceleration on the footprint expansion. After 93,000, 94,000 new homes in the quarter and trending towards 300,000 in the year, I would like to understand basically two things. First, which is your current commercial success in the new areas particularly which is the level of take-up that you are achieving after 24 months after deploying? And second, what are your plans going forward in terms of expanding your fixed footprint in that sense, how much is still pending to be rolled out? And the other question is related with shareholder remuneration. Considering the extraordinary effects in free cash flow that you have already reflected in the first nine months I would like to understand how should we think of shareholder remuneration for next year? Thank you.
José Ferreira: Thank you, Fernando. Regarding footprint expansion, I think, it's important to highlight that part of the numbers the part of that expansion on the numbers you mentioned is third-party networks. So the way it gets easier to link with the CapEx numbers going down since a part of this is third-party, which obviously doesn't imply CapEx from our side. And going forward, we will continue to expand. But again, a relevant part of that expansion will come also from third-party networks. So you will not see that reflected directly on CapEx going forward. In terms of commercial success, I think you understand if I -- I don't give too much information. We are very happy with the success namely on areas we are entering for the first time, but I don't feel comfortable giving concrete numbers to answer your question. And in terms of shareholder remuneration, as you know we'll have to wait for the Board early March or late February. That's where the matter will be discussed and decisions will be made.
Fernando Cordero: Okay. Very clear. Thank you very much.
Operator: Thank you. We will take our next question. Your next question comes from the line of Jose Antonio Suarez Roig from CaixaBank. Please go ahead. Your line is open.
Jose Antonio Suarez Roig: Hi. Good morning. Thank you for taking my questions. I have two if I may. First of all, congratulations for the results. I would want to know if -- considering the strong evolution in terms of EBITDA both in sales and EBITDA growth, you're like 6% in the first nine months. So how should we see the evolution going on in the fourth quarter? Do you see this trend continuing on? I know it's too early to assess the quarter. But do you think that the growth experienced in the first nine months is like a good proxy for what we should expect in the fourth quarter? That's my first question. And my second one, it's related to price pressure right now. Yesterday, it was announced that Digi will launch its services on Monday. And after this, are you feeling that potential price increases for the next year, could be -- it will be harder to pass those price increases as customers in Portugal are being more reluctant to accept those or how are you seeing the competitive pricing and market rational pricing for 2025?
José Ferreira: Thank you for your two questions. Starting with the last one, we don't see those things as being related. So it's not relevant for us what is going to happen. The potential entrance of a new player in the market will not affect our decision, but that decision is not made yet. We will make that decision in the next couple of weeks, but it's still too early to give you a concrete answer. But again, I don't think the two issues are related. In terms of expectations for Q4, well, I think it's fair to see that the first nine months as a good proxy in terms of year-on-year growth. The trends are very stable, positive and stable and we are already almost in November. We don't expect any surprises for the fourth quarter.
Jose Antonio Suarez Roig: Perfect. Thank you.
Operator: Thank you. We will take our next question. The next question comes from the line of Nuno Vaz from Bernstein. Please go ahead. Your line is open.
Nuno Vaz: Hi. Good afternoon. Thank you for the opportunity to ask question as well. So three what I think is quick ones from my side if I can. The first one is, I'm sorry to touch again on the Digi point but I think a lot of people would be interested. But I'll frame the question is sort of -- so the three main incumbents in Portugal, they've all launched second value brands. What role do you think the second brands will play when it comes to defending versus potential aggression from the new entrant? And what sort of positioning are you seeing from your competitors in the market? Are people -- competitors trying to re-contract their customers for another 12 months 24 months? So some color on that would be useful. And then two sort of much more quicker questions. One on site densification. Do you still expect to have to increase site densification in 2025 more substantially or do you think you're already bid quite sort of at the end of the roll-out in terms of increasing your number of sites? And finally, just quickly on B2B in terms of the mix. Would you say this quarter that most of the revenue came from the lower-margin IT side of the business or is there also some growth on the higher margin sort of more pure Telco business? Thank you.
José Ferreira: Thank you very much. Well, starting with the last one, it's a balanced mix, the usual mix. So we have growth on the lower margin as you call it services and better margin services. Both are contributing to top line and the mix was not materially changed over the last quarter. In terms of site densification for 2025, the answer is no. Most of the rollout is done. It's over in the past. So for 2025, there's always some sites but just a residual number, nothing significant. Again, the roll-out is pretty much done. In terms of the new entrant and value brands, well, I don't think we have a value brand per se. We have a second brand called Woo, which is a digital brand. It's positioned as a digital brand. It has a fully digital customer experience, which is something very different from what the rest of the market including ourselves is offering. We intend to continue to grow that digital brand strongly. But to be completely transparent and honest, we see that brand and that value proposition as a good way to fight back potential positionings that new entrants can bring to the market.
Nuno Vaz: Understood. That's -- appreciate the color. Thank you.
Operator: Thank you. We will take our next question and the question comes from the line of António Seladas from AS Independent Research. Please go ahead. Your line is open.
António Seladas : Hi. Good morning. Thank you for the presentation and thank you for taking my questions. In fact just one. So assuming that there will be pricing pressure next year due to the entrant, my question is related on the cost side and taking consideration that you have been doing very well, so do you still believe that there's margin to keep the costs under control in a way to manage the pricing pressure or do you believe that there will be pressure on the margin? Thank you for the question. Thanks very much.
José Ferreira: Yes. Thank you for the question. Yes, let's face it. We are expecting some pricing pressure next year. But regarding the cost side of the business, we believe that we are still very far from exhausting the potential for additional efficiencies very far. Actually given a few initiatives that we are just starting to roll-out many of which are supported by AI, but not exclusively AI. We expect the pace of these efficiencies to pick up and accelerate during 2025. So, yes, we still see a lot of potential to reduce the cost side of the business.
António Seladas : Okay. Thank you very much.
Operator: Thank you. We will take our next question. The next question comes from the line of Stéphane Beyazian from ODDO BHF. Please go ahead. Your line is open.
Stéphane Beyazian : Yes. Thank you. It’s Stéphane Beyazian from ODDO, I've got two if I can. One is a follow-up. Very interesting comments on your second brands. Can you give us an idea of what they represent today in terms of customer base? And if it's not with you overall in the market Woo WTF [indiscernible] how much they represent today of the mobile market? And I've got a second question regarding Novo [ph]. I was just wondering whether you think it's potentially a big positive for Digi strategy. That's what I'm trying to understand, because Novo had some plans in terms of infrastructure in the past couple of years to modernize their network to fiber and also to roll-out some 5G. So what have you seen Novo doing in the past couple of years? And to what extent that could accelerate the strategy of the new entrants in the market? Thank you.
José Ferreira: Thank you. Starting with last one. We haven't seen a lot from Novo to be completely honest and transparent. We haven't seen a lot for a number of years not just the last couple of years, but for a number of years. We haven't seen any investment in infrastructure. We believe that their infrastructure is quite old. No significant investments in updating those. And the result is that we can see from market shares that they have been losing market share. So the momentum clearly is not on their side. So I don't know how much it can contribute to the new entrant positioning, but I don't see it as a significant change -- a material change in terms of what we were expecting already. I'm not sure I understood the question of on who -- I think I understood that you were trying to figure out how big it is today right?
Stéphane Beyazian : Yes, absolutely.
José Ferreira: Well, it's still small in mobile. We believe that we should have a market share below 2%. But we have been fine-tuning the operation and not really pushing for growth which will likely happen starting 2025 and we see the potential from that brand to be of course higher than 2% of the market but one should expect that growth to come in 2025.
Stéphane Beyazian : Very clear. Thank you.
Operator: Thank you. This concludes today's question-and-answer session. I'll now hand back for closing remarks.
José Ferreira: Okay. Well, thank you very much for being on the call today and as usual we're available for follow-up calls if you like, and look forward to speaking to you next earnings season.